Miguel Maya: Welcome to BCP Earnings Conference Call. I will go through the highlights of our performance, followed by Miguel Bragança and Bernardo Collaço, who will provide additional details. On the first 6 months, net income stood at €485 million, an increase of 15% year-on-year, supported on a strong operational performance, with special emphasis to Portugal, where net income went up 16% reaching €411 million, supported by the strong competitive advantage of our business model and leveraging on BCP’s leading position in multiple lines of business. Steering through an environment of soft decreasing interest rates since late 2023, we rigorously manage core income and operational costs, being able to maintain a sound and stable core operating profit of almost €1.2 billion for the half-year activity at the consolidated level. In Mozambique, Millennium bim keeps showing a sustained and adequate profit level, contributing with stable results for the Group’s profitability. Net income stood at €47 million in the first half of the year, confirming the resilience of our business model and its capability to tackle the involving challenges of the Mozambican economy. I would say that the results in Mozambique were frankly positive, considering the significant increase of to almost 40% of the local requirement for non-remunerated cash reserves to maintain with central bank. In Poland, the performance of Bank Millennium was still significantly influenced by specific items. Besides the provisions and costs related to with legal risks for FX loans, which amounted to €376 million in the first 6 months, there were €47 million of additional costs in the second quarter for legal credit holidays within the range of values that we have anticipated. At another level, the second quarter, the 17 row of positive net results, was quite remarkable for Bank Millennium. It marked the formal exit from the Capital Protection and Recovery Plan, closing an important and successfully overcome cycle in the evolution of the bank. With the Bank Millennium reaching a robust buffer, both in terms of capital and MREL requirements. Despite the mentioned specific items and the resume of payment of the banking tax in Poland with the exit from the Recovery Plan. Bank Millennium achieved a net income of €83 million in the first 6 months, aligned with the net income in last year’s first half. Although last year result was positively influenced by a significant one-off income of €127 million from the bank insurance transaction, I mean by that, the sale of 80% of Millennium Financial Services. The consistent organic capital generation capacity of our business model is well reflected in the solid capital position achieved. We have capital ratios comfortably above the regulatory requirements with common equity tier 1 at 16.2% and total capital at 20.6%, having increased 219 basis points in common equity tier 1 and 225 basis points in total capital in the last 12 months. The quality of our retail banking business model in all our markets supported on strong commercial skills and lasting relationships with our customers led to an increase of 8.9% in customer funds year-on-year overcoming the €100 billion mark for the first time in BCP’s history, notwithstanding the increasing competitive landscape for deposits. On balance sheet, customer funds grew 9.3% having grown up more than 18% in Poland. We also kept the trajectory of improvement of the quality of the balance sheet, continuing to cut non-productive assets. In the last 12 months, we managed to decrease €175 million in NPEs and €59 million in foreclosed assets. NPEs ratios to the 3.4% and NPE total cash coverage is above 81% and above 121% considering real estate collaterals. Operating in a challenging environment, our rigorous management of the balance sheet risks enable us to also improve the cost of risks, which is currently well anchored with the reference presented in the strategic plan. At Group level, the customer base expanded more than 4% in the last 12 months, exceeding €6.8 million, of which more than €2.7 million in Portugal. Most notably, mobile customers grew more than 11% during the same period, accounting for 70% of our customer base and 61% in Portugal, revealing the success of our digital transformation journey. Customers recognized value in the distinctive approach that set us apart from the competition, namely from poor digital players. Leveraging on the symbiosis between a wide footprint and top digital competencies, we offer customers a superior combination of innovative products, convenience, and quality of services. This approach is supporting the expansion of the customer base with individual and corporate clients continuing to choose Millennium as their preferred bank and we see our service awarded with relevant distinctions. Customer recognition of our digital capabilities is also reflected in the use they make of our app. On the first 6 months, the number of transactions carried out by the customers through the app was 26% above last year’s first half figures, with a significant growth in the number of transfers and payments. The number of sales through the mobile app is also growing significantly, having increased 49% in the same period with emphasis to cards and saving solutions which increased 53%. The investment and the priority we give to mobile solutions with a clear focus on customer-centric innovation and permanent improvements means that our app continues to lead the rankings and deserve top reviews on the most relevant platforms. To conclude, I would say that we have completed the first half of the year following a period of normalization of the bank, and the results are very much in line with what we have planned which gives us confidence regarding the future. The quality of our franchise, by which I mean the preference with which customers distinguish us, our high efficiency model, the quality of our balance sheet and the solid capital ratios allow us to reaffirm today with even a greater conviction that we will be in a position to ensure that the distribution for the 2024 results will mark the beginning of a new phase in BCP relationship with the market and a phase in which we will be able to sustainably present the payout equal or greater than 50%. Miguel, the floor is yours.
Miguel Bragança: Thank you very much. As you see here in Page 8 in our simplified income statement and comparing with the year of 2023, which was an extraordinary year in terms of NIM, and because of the sale of the Millennium Financial Services. We still show growth in core income, in spite of the dynamics of interest rates, which is then more than compensated negatively by the sale of 80% of the Millennium Financial Services that of course was an extraordinary last year. In terms of impairments, we see a normalization of impairments. However, we have here an extraordinary also recovery of an old legacy write-off that was more or less responsible for around €50 million of profit. But nevertheless, even considering that, we see it as a normalization path in the loan impairment as we had commented before. So we would expect this year a normalization in terms of the NIM that is happening without an abrupt change. But at the same time, also a normalization of the impairment charges converging to the impairment charges that, I mean, similar banks do as show in the market. Then, charges for legal risk in Poland, still at high level, but below what we seen last year. And this is a little bit what we expect for the full year. So still a high level of charges in terms of CHF because of the changes in statutory interest, the claims and so on. But what we will hear also like to emphasize is that we are not seeing anything that we were not expecting. So we are here seeing a trend very much in line with what we have been commenting to you and with what we have been expecting. In terms of the taxes, as it was shown in the presentation of Millennium Bank in Poland, we had here also, I would say an extraordinary gain in terms of taxes that was basically the deductibility of a small part of the costs with the annulment of the contracts. So we are still trying to fight for a larger tax deduction of the losses with the Swiss franc loans. Up to now, what has been guarantees is that the interest that was taxed in the 5 years before the loan being declared null and void can be – I mean the taxes related to the interest that we obtained in the 5 years before the loan being declared null and void can be reverted, so this represents a tax asset, so a possible tax asset that was registered. This is only on average. I mean what we are expecting here to deduct for the time broad numbers, of course, it depends on specific context, but you are speaking about 15% of the costs of the contracts that may be deducted in the future. Going forward, we don’t expect these extraordinary tax gains related to the Swiss franc costs, but we expect a small deductibility on the cost that will occur in the next quarters. In Page 10, we see here our Group interest margin showing some contraction, but still above 3%, which is, I think, we all agree a very interesting interest margin that shows an important customer franchise. In Portugal, with a value of around 2.3%, and in our international operations here to a large extent Poland around 4.5%. At the Group level, we have been able to compensate these NIM contractions with some growth in volumes so that the NII, actually in consolidated terms, has grown 1.7%. In terms of fees and commissions, stability growing 2.3%, with similar levels both in Portugal and in the international operations. Other income. We have here, as commented in Page 12, the extraordinary insurance deal of last year whereby we’ve sold 80% of [Bank Millennium Financial Services] [ph], which represented a gain of €127 million. And we also see a reduction in regulatory contributions, mainly in the European fund, as you see here, of from €85.6 million to €62 million. So this explains the dynamics of other income. Operating costs are a challenge in a country such as Poland. The minimum salary 2 years ago was 20%, last year was 19% increase. So the salaries are included materially in Poland. In Portugal, which is our main geography, we have been very disciplined in terms of costs. However, with the inflationary pressures that we’ve seen last year, there are here low-single-digits increases. This means that we are still with a very resilient cost to income, around 35%, which proves also the robustness of our business model. Cost of risk, I would say, adjusted for these extraordinary at around 50 basis points. What we expect going forward is valid between 40 and 50 basis points going forward, probably considering the extraordinary much closer to 40 basis points in line with our models and with our expected losses still somewhat above the policy of our main competitors in the main markets reflecting the presence of our approach. In international operations, a cost of risk that is stable at 46 basis points. A continuous decrease of NPEs, when you compare with last years. In the quarter, there was a stability in terms of NPEs. However, of course, as we reach a lower number, and as most of our NPEs are unlikely to pay. The reduction becomes more difficult, because unlikely to pay NPEs are much more difficult to sell, because you typically need the agreement of the seller because of the debtor, because if the debtor is performing, I mean, even because of bank secrecy rules and so on, you cannot simply sell the loan. As you see, most of our NPEs right now are unlikely to pay. Going forward, we still are optimistic on this issue. We are trying still to do some sales. There is always some, I would say, some bulkiness in terms of the sales, because you need portfolios that have a minimum amount. But in any case, we are reaching here values in terms of the NPL ratio, 90 days NPL of 1.4%. The NPE ratio considering securities and off-balance sheet exposures according to EBA at 2.1%. So these are values that are much more aligned with what is the practice in Europe. In terms of business activity, very healthy business activity in terms of customer funds. You see that the customer funds in general have grown 9% year-on-year, it’s 9% so very relevant. With a strong impact from our international operations growing almost 20%, but even in Portugal growing at 4.6%, which in the context of strong rivalry in terms of pricing of deposits and without compromising the NII is really demonstrates the preference of our customers and how important it is for us to have a differentiation in terms of customer service. In terms of loan portfolio, the news are not so good, because of our discipline in terms of pricing. So the impact of new loans and of new stimulus to the company sector is taking somewhat more time than what we were expecting. So in Portugal, what we see is some decrease in terms of our performing loan portfolio. What we expect for the full year is, I would say, stability. So the end of this year compared with the end of last year, stability is to low-single-digit growth. It will depend now on the second half of the year on the business confidence and on the really possibility of access of some companies to these new European funds that will have secondary effects. But our base case right now is stability to low-single-digit increase in terms of the loans to companies. Loans to individuals are already growing at low-single-digits. So there we feel much more comfortable. In terms of the international operations growing at 3.5% with a stronger focus in Poland in loans to SMEs and corporate, which is the segment where we are clearly punching below our weight due to capital management in the last years. In terms of capital ratios, common equity tier 1 negative one growing from 14% last year to 16.2%. And if you remember, 16% in March, so 20 basis points of growth very much aligned with what I have been commenting here that of our 20 to 25 basis points accretion in terms of a capital after putting aside around 50% for the payout. This 16.2% compares very favorably with the minimum ratio of 9.41%. And even if we increase the 9.41% by the 29 basis points of the new buffer of the Bank of Portugal, we will get to 9.7%, so it is a comfortable capital ratio in terms of CET1 and also in terms of total capital ratio. As we have commented, we are working on a strategic plan that we will be close together with the results of Q3. And in the context of this plan, we will give some more light in terms of how will the distribution policy going forward, keeping in mind that at least 50% will be distributed in terms of dividends. Leverage ratio, still a strong leverage ratio 6.4%, which is partly explained by our high RWA density. So this gives us some confidence that even with the new regulations and with CRR in terms of credit. We feel comfortable that our models have adequate buffers in terms of credit risk. MREL. We are meeting our MREL requirements, no news. We expect to refinance what our senior preferred notes in the second half of 2024, maintaining our relationship with the market that we really don’t need it. It’s just, I mean, our policy of maintaining the relationship with the market and the presence in regular terms. Pension fund. The pension fund keeps an excess. I would here want to clarify that this excess is, I mean, like a buffer for market movements and for surprises. So while we are within this excess, I mean, even if the pension fund’s performance is less good, until this excess is consumed. We have not an issue in terms of capital. There is an ALM in terms of the evolution of liability vis-a-vis the evolution of the assets. So, of course, because the liabilities – the value of the liability is linked to long-term fixed rates, interest rates, a large part of the portfolio as we see here is also invested in bonds. So this means that when interest rates go up as it has occurred, I mean typically the value of our bond portfolio goes up, but the value of our liabilities also works in tandem. Liquidity ratios are still very much above the minimum. Actually, we have more liquidity than what we would like to, but we are not willing to compromise also in terms of capital discipline and in terms of asset pricing. We expect that as time goes by, as the loan growth picks up, part of this liquidity access will be allocated to loans. I will pass it now to Bernardo.
Bernardo Collaço: Thank you, Miguel, and good afternoon, ladies and gentlemen. I’m starting on Page 26, net income in Portugal stood at €411 million in the first half of 2024, standing 16.2% above the €353.7 million achieved in the same period of the previous year. This evolution of net income in the Portuguese activity benefited from the stability of net operating revenues, cost discipline, and by the reduction of provisions, as well as the reduction in terms of mandatory contributions. On Page 27, looking to NII in Portugal, net interest income stood at €673 million, which represents a decrease of 4.8% compared with the same period of last year. Although it’s important to mention that NII in Portugal resisted a small decrease on a quarter-on-quarter basis of just 1.4%, which support our view for NII evolution in 2024. This evolution resulted from different dynamics. When we look on the early basis, in one end, NII benefited from the higher income generated by the customer loan portfolio and from the positive impact arising from the active management of the securities portfolio. On the other hand, there was an increase in costs associated with remuneration of deposits, costs also incurred with the issue of some debt, and also the reduction of the loan book. Net interest margin decreased from 2.52% in the first half of 2023 to 2.29% in the first half of 2024, but still at high levels on the banking sector. Moving to Page 28, that we’ll look at fees and commissions and other income. Total fees and commissions stood at €286 million in the first half of this year, which means an increase of 2% compared with the same period of the previous year. Banking commissions were flattish and market-related commissions went up more than 11%. And here, I mean, it should be noticed an increase to what regards to banking commissions related with cards and transfers and on the market-related fees, they increased registered on securities. To what regards to trading? There was, I mean, in 2024, a negative contribution of €4.7 million that compares with a small positive contribution of €4.5 million in the same period of last year. And these differences mostly explained by the mark-to-market and some of the etching activity as well as cost-related with securitizations that we did on the past. Other net operating incomes stood at minus almost €23 million in the first half of this year. That compares with almost minus €67 million on the first half of 2024. And this improvement is explained by the reduction of mandatory contributions that moved from almost €73 million in 2023 to less than €40 million in 2024. Here on this line, it’s also we have a positive impact coming from some gains on real estate that also provides a relevant contribution for this line once there were considerable higher than the previous year. Now, going to Page 29, and despite the discipline cost management of the Group, operating costs in Portugal went up 3.1%. And this evolution on operating costs in the Portuguese activity is explained by increases recorded in staff costs as well on admin costs, as depreciations were stable year-on-year. Number of employees with a slight increase and the number of branches with a slight decrease year-on-year. Moving to Page 30, which refers to asset quality, NPEs stood at the level of €1.1 billion at the end of June, showing a reduction of more than €150 million compared with June last year. Taking in consideration the continued efforts to reduce the NPEs, it’s important to highlight that the NPE ratio in Portugal, as mentioned by Miguel, stood below 3%. Cost of risk, as also mentioned by Miguel on the second quarter, was impacted by some impairment reversals and stood at 28 basis points, and without this specific impact, the cost of risk would have stood around 50 basis points, which compares with 53 basis points 1-year ago. Now, let’s move to Page 31, which looks at the NPE coverage breakdown. And as you can see, total coverage of NPE stood at 140%, and the NPE coverage by loan loss reserves at 87%. Coverage by loan loss reserves is stronger in loans to companies, where, as you know, real estate collateral usually more liquid and with more predictable market value, accounts for a lower coverage than in loans to individuals. Coverage by loan loss reserves was at 122% for companies, and as of June 2024. On Page 32, which shows the evolution of foreclosed assets and corporate restructuring funds, as you can see, the net value of foreclosed assets stood at €66 million, that compared with €124 million 1-year ago, meaning a reduction of more than 47%. And here it’s also important to remind you that, just as a reminder, that in December 2022, the net value of foreclosed assets amounted more than €180 million, and in December 2021, more than €450 million. Regarding property sales, there was a relevant reduction in number of transactions compared with the first half of last year, which was somehow expected due to the reduction of real estate assets on BCP balance sheet. Corporate restructuring funds were stable year-on-year. Now, moving to Page 33, total customer funds reached €69 billion in June 2024, which compares with €66 billion recorded on the same date of the previous year. This evolution is mainly justified by the positive evolution of on-balance sheet customers, and more specifically due to the increase in deposits that went up almost €2.6 billion, compared with June 2023, and almost €1 billion if we look at the end of March 2024. Loans to customers stood at €38.6 billion, below the €39.9 billion recorded in the first half of 2023, although it’s important to highlight that we hold an inflection point on the second quarter as the loan book grew slightly less than €200 million from the end of March. Going to Page 34, which shows the evolution of performing loan book in Portugal, loans to individuals stood at €21 billion, which is €300 million above the amount recorded 1-year ago. All-in-all, loans to individuals went up almost 1.4% compared with June last year. Loans to companies amounted to €16.4 billion at the end of the first half of this year, standing below the €17.9 billion recorded in the same period of the previous year. Decrease, as already mentioned, is justified by higher interest rates and delays in investment projects, particularly those co-financed with European funds, and additional, as we mentioned before, also the repayment of COVID lines that also influenced this negative evolution of loans to companies. Now moving to Page 36, starting, I mean, the deep dive on international operations, net profit in Poland remains resilient, reaching almost €83 million in the first half of 2024, which compares to €83 million 1-year ago. In the first half of this year, the result of the Polish operation continued strongly impacted or conditioned by provisions associated with the Swiss franc mortgage credit portfolio, and on the second quarter of this year, it was also influenced by costs related to the extension of credit holidays, which as you know, amounted to almost €47 million. Despite these constraints, Bank Millennium continued very strong in operational terms, allowing the bank to maintain positive results for the 7th consecutive quarter. Now, regarding Mozambique, net profits stood at almost €47 million in the first half of this year, which compares with €49 million in the same period of last year. And if we look at the international operations after minority interest and excluding exchange rate effects, the contribution from international operations in the first half was €74 million, which compares to €69.5 million in the first half of last year. The result of international operations adjusted for the FX related with Bank Millennium increased by 12.5% on a comparable basis from €184 million to more than €207 million in the first half of this year. On Page 36, which refers to Bank Millennium, I think the first message that must be highlighted is the formal conclusion of the capital protection plan in May and the exit of the recovery plan in June. Net income, as mentioned before, continue to be impacted by costs related with CHF. And if we exclude these specific items, net income grew €19 million or almost 6% compared with June last year. Net operating revenues went down at 23% and as mentioned by Miguel is mostly explained by the one-off effect related with the sale of 80% of Millennium Financial Services that was registered in the first half of 2023. Operating costs went up almost 14% and mainly influenced by the strong wage inflation registered in Poland. And it’s also important to highlight that CET1 and total capital improved significantly and soothed comfortably above minimum requirements. On Page 38, which provides some detailed information about Bank Millennium, NII without credit holidays increased 5.3% to €635 million, that compares with around €600 million 1-year ago. And I think it’s also important to highlight the increase that happened on a quarterly basis. NIM stood at 4.32%, that compares with 4.71%. Fees and commissions decreased 3.4 and this reduction is mainly related with lower contributions from insurance. Other income was strongly impacted in 2023, as I said before, by the sale of 80% of Millennium Financial Services. Total costs excluding mandatory contributions went up 13.7% influenced by an increase of 17.8% on staff costs. Mandatory contributions went up more than €8 million and it should be noticed that Bank Millennium already started to pay the banking tax in June this year as the bank exits the recovery plan. Moving to Page 39 related with asset quality in Poland, cost of risk stood at 50 basis points, which is aligned with Bank Millennium expectations for 2024. Non-performing loans more than 90 days past due stood at 2.2% and coverage by loan loss reserves of non-performing loans stood at more than 155%. On Page 40, customer funds in Bank Millennium grew 17% year-on-year, off-balance sheet funds grew 32% and total deposits 16% compared with June 2023. In terms of loan to customers, gross book stood at €17.9 billion, slightly above the first half of 2023, and it should be noticed that Bank Millennium was somehow on the path constrained in terms of capital, and the degrees of the loan book was also impacted by the reduction of the CHF mortgage book, which is somehow positive, I would say. On Page 41, regarding FX mortgage portfolio, it’s worth mentioning the continued reduction of the CHF mortgage portfolio, which has reduced 19% since June last year and by 7% from the end of the first quarter of this year. CHF loan book at the end of the first half 2024 represented 2.4% of the loan portfolio, compared to 5.5% 1-year ago. A cumulative provision for legal risk amounted to €1.75 billion, representing more than 101% of total mortgage loan portfolio in Swiss franc. Reduction over last year has been driven by natural redemptions and amicable settlements with clients’ debt on the second quarter were still above 1,000 cases and in line with previous quarters. New court claims have been stayed quite stable after the peak in August and around that level of 1,600 cases per quarter. In June 2024, the number of court cases stood slightly above 22,000. Turning to Page 42, which now regards to Mozambique, we can say that Millennium bim has been quite resilient and continues to be an important and stable contributor for BCP results. Net income stood at almost €47 million, a reduction of 4.3% compared with the same period of last year, reflecting the decrease in NII due to the reduction in interest rates and the increase in mandatory reserves. Capital ratio stood at 37.5%. Moving to Page 43, NII and taking into consideration what I just mentioned before, NII went down 5.2% to a level of €100 million and NIM stood at 8.1%, that compares with 8.9% in the first half of 2023. Now on Page 44, non-performing loans 90 days past due at 3.8%, which compares to 7.1% in June 2023. Non-performing loans 90 days past due with coverage above 110% and aligned with June last year. Cost of risk stood at 58 basis point that compares with a much higher level in June 2023. Now, regarding volumes, and we are on Page 45, you can see that customer funds registered an increase of more than 10% and loans to customers a decrease of 8.7%, meaning that the increase on loans to individuals of 24% was not enough to compensate the decrease on loans to companies of more than €100 million. And I will end here and thank you for your attention. And before we move to Q& A, I will return to Mr. Bragança for some final remarks.
Miguel Bragança: Just to highlight in terms of the large numbers of our previously presented strategic plan, as you see, we are clearly overachieving this plan and that’s why that is ending this year and that’s why we present a new plan in Q4 obviously. Thank you very much. I will now open the floor to questions.
Operator: Thank you. [Operator Instructions] And now we’re going to take our first question, and the question comes to the line of Álvaro Fernández from UBS. Your line is open. Please ask your question.
Álvaro Fernández-Garayzábal: Yeah. Hello, good afternoon, and thanks for taking my questions. I have two. First, at the beginning of the year, you suggested that earnings in Portugal should remain flattish in 2024 versus 2023 or at most show a slight decline with lower non-credit provisions and other P&L lines largely offsetting margin pressures. Now, after two quarters, it seems that you’re going to meet that guidance, but I would like to know your thoughts into 2025 and if you think you can also hold the line in terms of earnings in Portugal in 2025? And second, if we look at sector data in Portugal, we see the average cost of deposits in Q2 still higher than in Q1. But June standalone already shows a month-on-month and a quarter decline. So basically, my question is, what are you seeing in BCP in terms of cost of deposits within the quarter? Also, in terms of migration towards term deposits, what do you expect for coming quarters? Thanks.
Miguel Maya: Okay, starting with the last question. Already for some months, our front book in terms of cost of deposits is reducing. Of course, it is taking some time for this reduction of the cost of deposits to flow into the cost of the stock, but we are now seeing a stabilization of the cost of the stock slight decline. So, what we are expecting now is, as time goes by, that the cost of deposits starts decreasing somewhat, because already for some months, we are seeing some reduction in terms of the front book. The percentage in terms of demand deposits and time deposits has been also stable for some months. So, basically, what I have told or the guidance that we’ve given to the market was that we were expecting, because we have a very hedged balance sheet position for the Portuguese operations to have a mid- to high-single-digit decrease in the margin this year, but not more. And this is relatively immune to the interest rate environment, because we have our interest rate risk very hedged. We are maintaining this guidance right now for the full year. For 2025 and 2026, what we are expecting, we will then see it more in detail, but our base case right now is a stability slash some increase based on the volumes more than compensating the possible further reduction in interest rates. So stability, I would say, in terms of NII going forward. In terms of the full P& L, of course, this is always a more difficult number to give, because there are many factors to take into consideration. But what we have commented is that we expect the normalization in terms of the cost of risk to broadly compensate the normalization in terms of NIM as the interest rates in the euro area approach also normal level, so to say. So going forward for the activity in Portugal, this is what we can say. But so I would say in the scenario of decreasing interest rates, we think that we will be able to broadly maintain our P& L with the top-line being compensated by the impairment charges in the next years, which will give more light in the presentation of the strategic plan.
Álvaro Fernández-Garayzábal: Thanks.
Operator: Yeah. Now, we’re going to take our next question, and the next question comes from the line of Maksym Mishyn from JB Capital. Your line is open. Please ask your question.
Maksym Mishyn: Hi. Good afternoon. Thank you for the presentation and taking our questions. I have three. The first one is on loan book growth in Portugal. Could you please share your view on the outlook for the second half? You already gave a little bit, but I was wondering if you see reduction in the headwind coming from amortizations of state-guaranteed loans. The second question is on reversal of provision. Could you give us a little bit more color, what happened there, and what was the reason you didn’t use it to improve coverage, and what kind of cost of risk do you expect for 2024? And then the last one is on capital. Could you please share your view on what kind of impact you expect from Basel IV? Thank you.
Miguel Maya: Okay. So, starting with Basel IV, we have been focusing a lot in terms of credit risk until the moment. And in terms of credit risk line, we do not expect any material impacts from Basel IV. There are then also other issues that we have to check, namely the trading risk area, the operational risk area. We are still analyzing to check exactly what are the details, because this is a little bit more complex, but all-in-all, we are not expecting major changes, and the main part is the credit risk, which is already seen. In terms of, I mean, the coverage for us or the accounting is not, how can I say, a target. So, the accounts reflect the reality, so to say. It’s not because we have, so to say, an extraordinary gain, that we use this extraordinary gain somehow to smooth the reality in other areas, so to say. We let, so to say, the market and the investors perceive when we have an extraordinary gain, is going to show our performance. And then, of course, in the same way if we have extraordinary losses, we do the remaining part. This was an extraordinary gain. It was a loan that we had written off. Of course, I will not say which loan it is, but, I mean, because of the way we operate, and we have a recovery of this loan. So, this was basically the fact, and we feel very comfortable with the impairments and with the coverages that we have right now for our book. So, we don’t need, so to say, additional provisions. If we need additional provisions, of course, we would have done it. Volume growth. I mean, the volume growth, effectively, as you say, the state-guaranteed were lines in which we had a market share clearly above our natural market share. So we had market shares at some point in time close to 40%. So when the customers, some of them took these loans out of precautionary motives, started to redeem these loans because some of them, I mean, did not really need them. We suffered disproportionately. So for you just to have an idea, we have already had amortization of around €700 million of those loans. These are long-term loans. I mean, as time goes by, of course, the speed at which they get redeemed slows down. It’s normal. You first get the low-hanging fruit. Going forward, what we see is that we are already seeing some growth in terms of the loans to private individuals. We are already seeing this. We are not seeing yet growth in terms of the loans to companies. But all-in-all, what we expect is that by year-end, if all these measures that are being taken by the government and so on really are seeds of future growth here of the country, that we will have a low growth in the SME portfolio, but this is more an expectation based on our view of the flows than a guarantee.
Maksym Mishyn: Thank you very much.
Operator: Thank you. Now, we’re going to take our next question, and the next question comes from the line of Ignacio Ulargui Lopez [ph] from BNP Paribas Exane. Your line is open. Please ask your question.
Ignacio Ulargui: Thanks very much for the presentation and for taking my question. I actually have three if I may. I mean, the first two ones are related to capital. I wanted to see a bit of how did you see build up going forward, what is the 20 basis points that we have seen this quarter of the go-to level in the context of faster lending growth, as you were pointing out, to respect a bit less. Linked to recent capital, should we think the 12.5 level like the go-to level for a capital target in the new strategic plan, or whether a change is there that could take that up? And a final question on the cost to income at a Group level, I mean, you have been running at about 35%, should we expect that kind of the right level to think going forward? Or do you think that there are ways to improve that cost to income ratio? Thank you.
Miguel Maya: Okay. I will start probably with the last question. As I often say, the cost to income ratio is not an efficiency ratio. The cost to income ratio has many other factors, including price and competitiveness influencing it. I mean, through my experience, I mean, in any industry, I mean, the firms, these guys, the banks, do not have, I would say, a return above the cost of capital for too long. So what happens is that as time goes by, I mean, the dynamics of the industry adjusts. And typically what you see is a convergence towards the cost of capital, but not necessarily below. And what typically happens is that there is some pricing revelry that makes sure that at least over the very long-term, I mean, in a specific sector when firms don’t earn a lot of money above their cost of capital. And this also translates into the cost of income. So if, I mean, the banks start having on a regular basis in this Goldilocks scenario of interest rates, let’s call it, between 2% and 3%, which is good for banks on one hand in terms of the management and liability, but also good in terms of the impairments. What we would expect is that the pricing dynamics and that the competition in the market, I mean, create some NIM compression, some commission compression, so that banks do not earn, at least over the long term return that is materially and always above the cost of equity. So I do not expect the cost to income to grow lower than these 35%. On the contrary, I think that there will be some normalization here. Except if there is a scenario, that’s not our scenario, where the cost of risk goes up to the extent that this then influences the return on equity. So I would expect the return on equity of the several banks in Portugal and by the way, in Iberia, to converge to levels around their cost of equity. So banks that are now earning more than the cost of equity will go around their cost of equity. And if this occurs, I would say, it’s more probable that this occurs with a low cost of risk and a cost to income around 35 or slightly above, then with a high cost of risk and even lower a cost to income. I don’t know if I’m making myself clear or not. In terms of the common equity tier 1 ratio, what we said is that we represent our target ratio within the context of our strategic plan. But what you’ve seen is that it could be a target aligned with the median targets of European banks. And I think that in Europe, there are, I would say, two outliers or two outlier zones there is an outlier zone in Scandinavia with very high ratios. There is also another outlier zone in Spain with very low target ratios none of them are median. So I don’t want to go a lot beyond this. But the median is clearly somewhat above the 12.5, but let’s see exactly where the median is by the time. The capital going forward. I mean, the capital going forward. I mean, the capital is the result of many factors. As we know, it’s the end number. But even when I give here the guidance between 20 and 25 basis points per quarter, I’m already, I mean, having here some leeway in terms of some other way growth. So we do expect except if there is a huge other way growth, which is not our base case, we will be around these 20 basis points going forward. But of course, there is then the reality. So this is not a bond. This is equity. There is some intrinsic risk associated to it.
Ignacio Ulargui: Thank you.
Operator: Thank you. Now, we’re going to take our next question. And the next question comes from the line of Noemi Peruch from Mediobanca. Your line is open. Please ask your question.
Noemi Peruch: Hello. Good afternoon. I have a few questions. The first one is on NII in Portugal. I would like to...
Miguel Maya: Noemi, can you please speak up a little bit, because the sound is not very good here. I’m sorry.
Noemi Peruch: Okay. Is this any better?
Miguel Maya: Yes.
Noemi Peruch: Okay. Good. So I would like to understand when the impact of the repricing of a term deposit will be visible in 2024, when it comes to NII in Portugal. Shall we expect it already in Q3? And also I have a clarification on 2025 NII that you mentioned before. Would you need loan growth to achieve the stability in 2025? Or would the positive repricing be enough to offset lower rates? And then I have a question on common equity. I have two actually. One, if you could update us on your common equity sensitivity to government aspects. And the second one is on the absorption of tax loss actually forward. If you could give us a bit of visibility here in terms of annual absorption and whether you have absorbed some of this in Q2 already. Thank you very much.
Miguel Maya: Yes. In terms of the reprising of term deposits, as I have already commented, I mean, we are already in terms of the front book – in terms of the front book, we are already seeing some decrease in terms of the cost of deposits. And in the last data, we are already also seeing some decrease in terms of the stock of term deposits. So this is happening exactly as we had planned. I recall that in the first quarter, we had a decrease in NII vis-à-vis the quarter before, so the quarter-on-quarter decrease around 9%. This one is closer to 1%. So there is a stabilization in terms of the NII. And what I had commented is that we would have comparing the full year with the full year, a mid- to high-single-digit decrease in NII. And based on the latest numbers, we are confirming this. In order for us to achieve this, the second half of the year, we’ll have to have a higher NII than the first half of the year. So we are already hit the bottom, as we expect. And we expect the next 2 quarters to be higher than the 2 last quarters. So because if you do the numbers, this is the only way to achieve the targets that we have commented. I mean, going forward, the stability of NII, we are not very sensitive, so to say, to the interest rate, but there is, of course, some sensitivity to the commercial spread. And it’s very difficult to anticipate exactly what the competitors will do and what will the commercial spread be of deposits in a scenario of lower interest rates, such as the one that is projected in the forward curves. So I would assume that in the normal competitive scenarios, we need some volume growth but not a large volume growth. We are speaking about low-single-digit growth to achieve stability in terms of margin, but nothing exceptionally and clearly within the scope of our targets. Of course, if then the market behaves in a more profitability-focused manner so that the competitors focus more on margin than on market share and volumes. We may even not need the volume growth, but I would say the normal scenario is the maintenance of the degree of competitiveness in the market and in the scenario of some degrees of interest rate, we’ll need some of these small volume growth to hit the values. In terms of tax loss carryforward, we have not consumed tax loss carryforward in Portugal. We have consumed some, I would say, guaranteed DTAs, because the way it works is that the pending guaranteed DTAs are, so to say, used when we are profitable. So when we are profitable, we decrease the guaranteed DTAs before using the tax loss carryforward. But the tax loss carryforwards have been quite stable. You will have a lot of information on our report that we will publish by the end of next week. In terms of the capital sensitivity of the spread, you are speaking about the government spread in terms of, for each 100 reduction of spread vis-à-vis the German bonds, if you want, we have around €30 million of impact in capital in terms of Portuguese bonds, and then €40 million in terms of EU bonds. And then of other countries in Europe, we have around €50 million. So it depends on the correlation between these different values, but I would say very small impact of spreads in our capital position.
Noemi Peruch: Very clear. Thank you.
Operator: Thank you. Now, I’m going to take our next question. And the next question comes from the line of Sofie Peterzens from JPMorgan. Your line is open. Please ask your question.
Sofie Peterzens: Yeah. This is Sofie from JPMorgan. Thanks for taking my question. So on Slide 23, I guess you give details on your pension fund and the discount rate has been revised to 3.8%. Could you just give us some sensitivity how to think about the impact on your capital if the discount rate would be lowered to, let’s say, 2%. So how should we think about a lower discount rate and what the impact on the pension fund coverage is? And then my second question would be a little bit related to the previous one. Could you just remind us how much DTAs you have both in Poland and in Portugal and kind of what the timeframe for using these DTAs are? And then maybe if you could just comment how you think about organic versus inorganic growth opportunities? Thank you.
Miguel Maya: So starting with the pension fund. So the sensitivity of our liabilities to an increase or to a decrease in the discount rate of the pension fund is for each 25 basis points we have an impact of around €90 million in terms of equity. But I would like to highlight two points. This only considers the liability, so that this does not consider the assets and a large part of this is covered exactly through the ALM, because a large part of the assets are investors in fixed rate securities. So I would expect it depends of course on the exact position of the pension fund that at least half of this, at rarely half of this, but in principle more is absorbed also by the evolution of the asset side, because the assets, I mean, there is an ALM here. But as you see here in Page 23 at least half is invested in long-term bonds, so that I would expect this also to move somewhat in tandem with the liabilities. And, of course, there is a buffer of €350 million as you see here, so at the first €350 million we have not any type of impact. So if we follow these reasoning, so just trying to make a linear approximation. So, if you do, for instance, 1 percentage point would be 90 times 4, which is 360. 360, half of this is 180. So, this first 180 would not affect our capital. And if the decrease is around 200 basis points. Even 200 basis points, it would have a negligible impact in terms of capital, because this would be more or less the size of our surplus. So, we have a very strong resilience to these movements. So, I don’t want to underplay it, but I would not be very worried with it. In terms of typically the right that we use and how it’s performed, of course, we do our own calculations, but generally a very good guidance for what we do are objective, independent, Mercer rates that are given by the independent consultant Mercer for the 11, 12 years duration. That’s typically how we look at it and the type of, I mean, approach that we take towards it. In terms of the DTAs in Portugal, let me start here in Portugal. The DTAs in Portugal, I mean, the DTAs are a complex number because a part of the DTAs are not relevant from a regulatory standpoint, because they may be linked to assets that are also not relevant from regulatory standpoint, such as cash hedges, so to say. But looking at the ones that are relevant from a regulatory standpoint, what we have is around €1.5 billion of DTAs. Of this €1.5 billion, roughly half are guaranteed DTAs, so around €700 million are guaranteed DTAs. And from the other part, around €584 are non-guaranteed DTAs. But we are within the scope and the limit where they can be profited from. And tax loss carryforwards are around €127 million. So from our DTAs, the part that is not considered in terms of capital is €127 million. On top of this, as you may see in our accounts, we have tax loss carryforward that we may have benefited from, but that are not, I would say, prudently not registered in our accounts, of around €800 million tax loss carryforward from the past that is a value that is there. It would not be relevant from a capital ratio standpoint to register them in our books, because they would not count as tier 1 capital, but of course we will be able to benefit from them as time goes by. There will be a large detail on this issue in our report that we will present next Friday. In terms of Poland, it’s a complex story, because I would suggest you, because it has already been published, and just for the – we can then give you more details later on, but the accounts have already been published. There’s a lot of information there. We can then guide you through this information, but there’s a lot of information already in public domain, and just not to invest too much time in it. I would suggest us to go through it in the annual report. It’s note 18 of the annual report of Bank Millennium that we get the same annual report of Bank Millennium, and there’s a lot of information there. If you have then some difficulty, we can guide you through that.
Sofie Peterzens: Thank you. That’s very clear. And just on organic versus inorganic growth opportunity.
Miguel Maya: I hope you had forgot this question. No, I mean, to be clear, I mean, we focus on organic growth. We don’t need inorganic growth. We have already a position in our markets, mainly in Portugal, where we don’t need to grow inorganically. But of course, if there is an opportunity, it is our duty to look at it. In any case, we will compare looking at this opportunity and with the value creation of the alternatives that will be a distribution to the shareholders. So in any case, I mean, for us, what is really important is value creation. Of course, any type of deal has an opportunity cost or in terms of investment, in terms of equity, and so on. In principle, we don’t need any type of inorganic deal, inorganic acquisition, because we are clearly above the critical mass. Even in Poland, I mean, our market share for individuals is very close to 10% in the markets in which we are, which is a very reasonable market share. So, in unsecured loans, in credit cards, I mean, in deposits of individuals and so on. So, I mean, it’s not, it’s a market share that already assures us a position and the cost position that makes sense for us. So, we don’t need it. Of course, if there is an opportunity, we have to look at it, always keeping in mind that it is our primary duty to preserve value and to generate value. So, it’s not in our plan, but we will, of course, do our job in terms of analysis.
Sofie Peterzens: That’s very clear. Thank you.
Operator: Thank you. Now, we’re going to take our next question, and the question comes from the line of Carlos Peixoto from CaixaBank. Please ask your question.
Carlos Peixoto: Yes. Hi. Good afternoon. So a couple of questions from my side as well. The first one will actually be on fee income. I see that in Portugal you have a quite good evolution this quarter. I was wondering if you see it as something that we should expect going forward as well. Second question would be on cost of risk, picking up a bit on previous discussions. But basically, if you look at the second Q, cost of risk adjusted for the right banks that took place. The underlying, let’s call it that way, cost of risk was actually slightly higher than in previous quarters. I was wondering if you see that as a trend towards the second half, or should we actually expect that to come down during the second half of the year. And then finally, and sorry, if I may, just picking up a bit on your comment before regarding return on equity and basically the timeframe. I was wondering, basically, how long do you think that a bank or a BCP can operate with or can deliver a return on tangible equity above the cost of equity, given basically the comments that you made before that over the long run, this should converge. I was wondering what type of timeframe do you think could be the one that you could actually be performing above the cost of equity as you are currently? Thank you very much.
Miguel Maya: Starting with this last question, of course, how long can we deliver an ROE above the cost of equity? Of course, this depends to some extent or to a large extent on the competition. It’s what we learn in economics, the competitive dynamics, and so to say, the excess profits being competed out of the market. It will depend a lot on the competition. And in these, I don’t have a lot of insight. Maybe you have some insight in terms of one competitor that I don’t, but I won’t ask you. So it depends a lot of the aggressiveness of competition, what I can say is basic economical theory. I mean, when we are in a competitive market, I mean, you don’t have economic rents forever. In the same time, you don’t have also a performance below the normal cost of equity, also forever. So it’s just a general economical-based knowledge. It’s not a view. I don’t have a specific view, because the view would be very dependent on the competitive dynamics of the banking industry. In terms of the fee income, we are optimistic about the evolution of the fee income, because as interest rates go down and as the markets somehow pick up. I mean, the fee income mainly links to investments, to funds, to long-term savings periods. I mean, become more compelling vis-à-vis deposits. When the short-term rates and deposit rates are very high, what we see is that there is some migration, so to say, from low-risk funds and low-risk insurance products to deposits. When interest rates go down, you see the other movement. So I would expect this evolution of fee income to continue. In terms of cost of risk, the guidance that I would like you to give is going forward, the guidance between 40 and 50 basis points, so that’s what we think we are. It’s true that in this quarter, if we adjust for this extraordinary recovery, it was closer to 50. We also have one or two more bulky guys. We’re speaking about €15 million, €20 million that are not so recurrent as we have in other situations. But going forward, that’s what we think will occur based on our model. So we would expect the underlying to converge to levels around 40 basis point, slightly above, but not much. When you see our compare, I mean, there is not a good reason, any good reason for us to present on a recurrent basis a cost of risk, majority in our Portuguese competitors because of our books right now and our books as good as is that at least the average of the system. And when you see the cost of risk that BPI presents, the cost of risk that cash out funds presents, the cost of risk that [send the net] [ph] presents, you see that we have some leeway in terms of converging and in terms of reducing this cost.
Operator: Carlos, any further questions?
Carlos Peixoto: No. Thank you.
Operator: Thank you so much. Now, we’re going to take our next question. And the next question comes to the line of Pamela Zuluaga from Morgan Stanley. Your line is open. Please ask your question.
Pamela Zuluaga: Hello, good afternoon. Thank you very much. So most of our questions have been asked, but I have one follow-up on your comments around deposits. Can you tell us what the pass-through rate is exactly in Portugal? And how do you see total deposit volumes moving forward in the country. And the other follow-up is on the distribution that you were mentioning, you’re flagging that 2024 distribution will introduce a new stage for BCP with the payout at 50% or higher. But I wanted to know if you’re considering buybacks as part of this payout, or will cash dividends be a priority? Thank you.
Miguel Maya: Okay. So in terms of the pass-throughs, when interest rates go up and then go down and so on, they are always more difficult. They’re always more difficult to, I mean, at least to have a sense of it. But trying to make a sense of it, what we see is that our pass-through considering companies and individuals is around 50%. And considering only individuals, it’s 45%, considering only term deposit, okay? Considering the average of term deposits and demand deposits, it’s half of this in any case. So just to make it clear. So the beta, if you want, of individuals is 45%, if you only consider term deposits. If you consider term deposits plus demand deposits is 23%. The beta of individuals and companies is 50%. If you consider term deposits plus demand deposits is 25%. In any case, these betas are below the betas of the system. So, I would say, we have been able to manage the deposit costs in a way that shows our franchise, shows our customer service, and shows the preference of our clients. In terms of the distribution, I mean, we will comment on how to distribute, but we don’t have any prejudice. So we will see and we will engage with investors, we will engage with shareholders to check whether it makes more sense to have a higher payout, where we have to have extraordinary dividends, whether we will look at share buybacks. We don’t have been anything against share buyback. But, of course, both of that is in the disadvantages in any of these decisions. We will analyze and come back on this issue. What we know is that we want to be disciplined on capital. So we don’t want to accumulate capital just for capital’s sake. We think that our business model right now does not need as much capital as we have right now. So considering all of this, we will come here with a view on what will be our distribution policy going forward.
Pamela Zuluaga: Thank you.
Operator: Thank you. [Operator Instructions] Now, we’re going to take our next question, and it comes from the line of Hugo Cruz from KBW. Your line is open. Please ask your question.
Hugo Cruz: Hi, thank you for the time. I think no one asked about OpEx guidance for this year and the next. So if you could talk about that would be great, just for Portugal. And then on capital, the ability to generate distributed capital. Just a couple questions there. First, should we consider any constraints on the ability of the bank to remove capital out of Poland and Mozambique in order to support the distributions of the Group? Should we segregate the earnings or the capital in those countries or not? And also when we think about buybacks, the shareholder base is not that liquid, some big shareholders in there. So do you think there are any constraints in terms of the liquidity of the shareholder, the free float that could constrain your ability to distribute buybacks? Thank you.
Miguel Maya: Okay. Two good questions. Two very good questions. But the simple is that we do not see any material restrictions in this issue. And let me explain why. First, there would be a higher degree of complexity if you have one shareholder very close to the mandatory tender offer threshold. And if you want to do a buyback, there is some complexity, so as to make sure that, I mean, you don’t put your shareholder in a complex position of suddenly being above the threshold or needing to sell and so on. So, right now, our two largest shareholders are far below the mandatory tender offer rule. So this makes it easier for us if we choose so to do a share buyback than if they were very, very close to the mandatory tender offer rule. So this is what I would like to say. So from this perspective, there is not an issue in this context. And there, I mean, of course, we will engage with both representatives of the market, analysts and so on to decide what are the best distribution choices. And of course, we will also engage with the largest shareholders. So the largest shareholders have also to be heard and we have to understand when somebody, I mean, buy shares of our bank, what is the expectation and what makes the most. So in terms of restrictions of dividends created by inability to get dividends out of Poland and Mozambique. Then the dividend, I mean, what constrains more our dividends, I would say, are two sorts of limitations, so to say, are corporate law limitations, so to say, so that we can only distributable reserves, okay, and are, I would say, capital ratios, and the most important consolidated and solo capital ratios, okay. Our solo capital ratio, I mean, has a very high headroom, so it would not be a constraint at least over the next years, in terms of distribution of capital, and our consolidated capital ratio, you know it. But the distribution, we don’t the distribution of dividends from Mozambique and/or from Poland, I mean, is not needed, so to say, to improve our capital ratio. On the contrary, in principle, the distribution of dividends, because the part of the dividend goes to minority shareholders, reduces our headroom to distribute capital at holding level. So even supposedly that for whatever reason, we receive an indication from the Polish supervisory authorities that we cannot distribute dividends out of Poland, okay, for whatever reason. This would not necessarily have a negative impact in our capital ratio, and consequently, would not be per se, the percent depends on what is the origin of this. But per se a limiting factor for the distribution to our shareholders, because we measure it on consolidated capital ratios. Of course, we would have to check what is the reason behind it. So if the reason for not distributing dividends for whatever reason is a risk that we have to ponder, and that we have to wait, and that we have to maintain capital beyond what is already in our ratios. In such a case, of course, we would have to be prudent and analyze what it is. But from a pure regulatory standpoint, we don’t need dividends from Poland to pay dividends to our shareholders. Okay. The OpEx, I mean, the bank, I mean, in Portugal has been constrained for a long time. We are here operating, of course, with a remuneration and a very remuneration that is very, very tight. And if as the situation gets better, it is normal that our salary per person, mainly based on variable costs and so on, increases somewhat. So we are expecting OpEx going forward to increase at the mid-single-digit. But as I was commenting also, what we are also expecting here is together with the normalization of the cost of risk and with the resilience of NII to broadly maintain the net income. So going forward, when we look at 2025 and beyond, so what we expect is a resilience of the net interest income, some growth in terms of commissions, amid single-digit growth in terms of operating costs, and this convergence of the cost of risks to the level that we see in the market and, thereby, showing a very resilient net income at a high level, maintaining a high level of net profit, but resilient in the years of 2025 and 2026, in spite of reduction in interest rates. So that’s the way we look at 2025 and 2026.
Hugo Cruz: Very helpful. Thank you.
Operator: Thank you. Now, we’re going to take our last question for today, and it comes from the line of Francisco Riquel from Alantra. Your line is open. Please ask your question.
Francisco Riquel: Yes. Hello. So, first question is on the hedging strategy. I have seen that the [all bond] [ph] portfolio has increased by further 8% quarter; 24% year-to-date. So, you seem to be reinvesting the good inflows in terms of deposit gathering into bonds, but the bond portfolio already accounts for almost 100% of demand deposits, and your total assets are already at €100 billion, which is the threshold for MREL subordination requirements. So, I wonder if this is a limit, and you will not increase the bond portfolio further, and if not, how will you hedge if you continue to gather so much liquidity? I’m also connected to this, if you can update the NII sensitivity in Portugal and Poland. And just a last question for me. So you mentioned NII guidance for Portugal stability. So I wonder if you can also provide guidance for Poland in terms of loan growth and NII going forward. Thank you.
Miguel Maya: Okay. So in terms of NII sensitivity in Portugal is a low sensitivity what we are speaking here is somewhere between 3% and 4% for each 100 basis points of right now for each 100 basis points of change in terms of interest rates. So it is a very, very low sensitivity that we have in Portugal and due to the volatility of the interest rates in Poland, it’s even lower in Poland. In Poland, NII sensitivity right now is closer between 1% and 2%. Okay. Further guidance in terms of the evolution of NII, I mean as you know the bank in Poland is listed and, I mean, I cannot go beyond what was commented in the conference call of the Polish bank. And the comments were basically on this issue. We are expecting also the NII in Poland to be quite resilient at least in terms of exposure to interest rates. As I’m commenting here the exposure is very low. So even if the interest rates in Poland go down in the next 2 or 3 years. I mean we expect the impact derived from interest rates on the NII to be quite low. In terms of the way we look at, I mean, we are a customer focused bank. And for us, I mean, we are not for – it’s very complex, when customers us chooses and when we grow 5% plus customer funds and we are speaking about retail, about the affluent [ph] segment and so on. To say to them now, we don’t want your deposits, because if anything we have to then invest your deposits in government bonds and we don’t want to invest in government bonds. So for us this would not make a lot of sense in terms of preserving and in terms of value generation of our customer franchise. It is true that we don’t have, I would say, a proactive objective in terms of investing in government bonds. So what we invest is the excess liquidity. So, going forward, we expect the deposits to continue to grow at this type of rates 5% plus. We expect us to invest in government bonds, in diversified government bonds. We invest in Portuguese government bonds, in European Union specific recovery plan bonds, in Spanish government bonds, in German government bonds, so we have a diversified portfolio that we use to some extent when we invest into [a wheel] [ph], when we have a short-term liquidity, when it’s more structural, we go further down the yield curve. But, I mean, we are not containing our commercial activity out of having a large balance sheet. There are – I mean, at least in my experience, I’ve lived in geographies and seen situations in which during some years, I mean, banks have a business model that is very much based on transactional banking in terms of originating deposits and customer business and investing in government bonds on the asset side. And I don’t think it’s any wrong about it as long as the credit risk of these government bonds is solid, as we believe ours are. So during many, many years, I mean, at least in countries where the credit to GDP ratio is still low. This is very normal. I mean, in many countries, this happens. We hope that the credit will pick up. This is also a sign of the fact that the European, that the Portuguese economy has delevered a lot when compared with other European markets, but I mean, we can make money only on the liability side, on the deposit side, and investing in bonds. It’s not so normal in Europe, but it’s possible as long as it’s a sound business model. There’s nothing wrong in terms of making money on deposits.
Operator: There are no further questions for today. And I would like now to hand over the call to Miguel Maya for any closing remarks.
Miguel Maya: I will do the closing remarks. Thank you very much. We are very pleased to be able to show the evolution of our share price and the value generating that we have been able to do. Some months ago, as you know, people were very worried and some investors were worried with how resilient we were to a situation of decreasing interest rates. I think we have shown that we have a resilient balance sheet and that we have a resilient business model. We continue to work on this to generate value for our customers on beforehand, but also for our shareholders. Thank you very much.